Operator: Good day and welcome to the Calibre Mining Corp. Q1 2025 Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Ryan King. Please go ahead.
Ryan King: Thank you, operator. Good morning, everyone and thank you for taking the time to join the call this morning. Before we commence, I'd like to direct everyone to the forward-looking statements on Slide 2. Our remarks and answers to your questions today may contain forward-looking information about the company's future performance. Although management believes that our forward-looking statements are based on fair and reasonable assumptions, actual results may turn out to be different from these forward-looking statements. For a complete discussion of the risks, uncertainties and factors which may lead to actual operating and financial results being different from the estimates contained in our forward-looking statements, please refer to our first quarter and year-end MD&A and consolidated financial statements available on our website as well as on SEDAR+. And finally, all figures are in U.S. dollars unless otherwise stated. Present today with me on the call are Darren Hall, President and Chief Executive Officer; David Schummer, SVP and Chief Operating Officer; Daniella Dimitrov, SVP and Chief Financial Officer; and Tom Gallo, Senior Vice President, Growth. We will be providing comments on our first quarter 2025 production and cost results and an update on the Valentine Gold Mine, after which we will take questions. The slide deck we will be referencing is available on our website at calibremining.com under the Events section. You can also click on the webcast to join the live presentation. And with that, I'll turn the call over to Darren.
Darren Hall: Thanks, Ryan. Moving to Slide 3. Good morning everyone and thank you for joining the call. I'd like to thank our employees and business partners for their continued commitment to quality performance which was demonstrated by another quarter with no significant community issues, no material environmental events and a lost time injury frequency rate of less than 0.65 events per million exposure hours. Before getting into the quarter, I would like to thank Calibre's shareholders for approving the merger with Equinox Gold. Through an enhanced scale, a diversified asset base and new high-quality Canadian production, this merger is well positioned to deliver greater value than either company could have achieved independently. I value the confidence you placed in the team and we remain committed to operational excellence and execution as we take this next strategic step in value creation. Q1 marked a strong start to the year, delivering 71,000 ounces of gold at below budget costs, positioning the company well to achieve the upper end of 2025 production guidance of 230,000 to 280,000 ounces before any production from Valentine. In addition to delivering Valentine, Atlantic Canada's largest gold mine, this will be noteworthy for exploration with a 200,000-meter company-wide drilling program underway, the largest in Calibre's history. We're excited about the recent discovery drilling at Valentine's Frank Zone and continued success at Limon's VTEM Corridor which both have the potential to meaningfully increase mineral resources. Moving to Slide 4 and Valentine. I appreciate the efforts and dedication of the entire team in responsibly progressing Valentine as it enters its final stages of construction. However, it hasn't been without challenges with first gold now expected by the end of Q3. The delay was due to lower-than-planned productivity and minor scope growth which has resulted in CAD110 million increase to the initial project capital since our October 2024 update of CAD744 million. Approximately 75% of the capital increase is attributable to the schedule extension and 25% related to scope growth and quantity. It is important to note that at the end of April, initial project capital remains fully funded with CAD280 million in cash and CAD101 million remaining to be incurred. A combination of factors which can be simplified to lower-than-planned productivity is the reason for the delay and resulting increase. Firstly, approximately 75% of the increase is related to labor and indirect costs associated with performance of our 2 primary contractors resulting in schedule slip. Our commitment to our provincial benefits agreements obligate the company to develop local partnerships and employ locally. While this has long-term benefits for the region and for Calibre as we move into operations, it has been problematic in completing specialized mechanical and electrical aspects of the build which require specific skills for relatively short durations. Our commitment to the local benefits agreements and not hiring of foremen required us to provide additional oversight and, more critically, training. This has been particularly evident where teams transitioned from what were traditional scopes such as high-voltage power line work to more complex industrial systems. This resulted in lower-than-planned productivity factors and therefore, increased numbers which were not adequately reflected in our October estimates. The balance of the increase relates to unidentified scope items and incomplete design packages. For example, scope growth occurred in small bore piping, electrical caving and some instrumentation, all of which added time and cost. However, without the productivity issues, I believe the scope changes would have been adequately covered within the previously allowed contingency. To ensure we deliver our Q3 commitments, we have taken specific actions, not the least of including productivity factors -- revised productivity factors into the schedule and timing and costs but importantly, strengthened contractor oversight and embedded experienced personnel directly into critical scopes and increased capacity within our owner's team, including the addition of Pierre Légaré, a seasoned construction professional as project director, specifically focused on the process plant to contract manage the final scopes of work. With mass construction materially complete, the focus is on final electrical, piping and instrumentation activities within the plant. The primary crusher has been commissioned with the coarse ore stockpile building well underway and ready to receive material by the end of May. The revised time line allows additional time for completion of critical system installations and delivery of efficient commissioning process which positions us well for a successful ramp-up and long-term strong operational performance. We've successfully completed Valentine minor mill staffing in preparation for commissioning and ramp-up activities. Importantly, key roles all have commissioning experience which is critical to a smooth ramp-up and long-term performance. Commissioning activities are progressing well, including no load motor runs and control system validations. All conveyors have been belted and ready for operation. The system is ready for water introduction to commence plant commissioning. The control room team is working through finalized control narratives and conducting phantom simulations to enhance confidence in proper plant sequencing. Preliminary testing indicates that all systems are communicating effectively with vendor-supplied controls. Ball and SAG mills and motors have been turned over to commissioning team to start up activities. And the primary crusher is being commissioned and is ready to crush and deliver rock to the coarse ore stockpile which we anticipate in the next month. Moving to Slide 6. While mining has specifically focused on delivering waste for construction, we have over 400,000 tonnes of mill ore stockpile which will grow materially through the next quarter. These final steps position us well for safe and efficient transition to first ore and full operations. Moving to Slide 7. With a vote in favor, Calibre and Equinox will merge to create Canada's second largest gold-producing company with a diversified Americas portfolio anchored by 2 high-quality long-life Canadian gold mines. This strategic consolidation of companies will focus on operational excellence and execution, generating greater shareholder value collectively than either company could have independently delivered. New Equinox Gold has the potential to produce over 1.2 million ounces of gold annually when the Greenstone Mine and Valentine Mine operating at capacity. This merger presents significant opportunity to unlock the value of the combined asset base potentially leading to a substantial equity re-rating. I look forward to working with the combined team to continue our track record of superior execution and delivering on our commitments. With that, we're happy to take questions. I'll pass it back to the operator.
Operator: [Operator Instructions] Our first question comes from Ingrid Rico of Stifel.
Ingrid Rico: Darren, I wanted to touch on the CapEx increase and perhaps, I know that guidance for operating costs and additional capital post first gold is going to be announced in Q3. But just to put some context on the additional CapEx and whether this is already capturing some of the capital that would be expected post first gold. And if anything, just some indication of what that additional capital post first gold could be for Valentine.
Darren Hall: Yes. Thanks, Ingrid and appreciate the support and the questions. If we look at this revised estimate, we're confident in this estimate. I mean, we've worked through the issues over the last quarter. We provided the update in October and it was -- in October, we had made the changes that we had identified at the time but we had failed to recognize the significance of the productivity factors associated with the local hire with respect to the construction team. That has been recognized, has been addressed and over the last month or so, we've worked through with unions, the vendors, the suppliers and more importantly, the regulators and the communities to get to a solution we feel comfortable in between now and the end of the quarter. As a consequence of that scheduled delay, right, a lot of the costs that would have been in post initial capital are now within the period because all of -- the majority of the spend in terms of operating folks, the camps and those sort of things are now all captured to move with that. So vicariously, we actually have a smaller period of post initial capital pre end of year. And as we get close to production, at the end of the quarter, we'll come out and we'll provide guidance on production and the balance of the fourth quarter costs. But the work that we've done doesn't negatively impact forward-looking in terms of costs. And importantly, I mean, I'll just drill down a little bit on some of the productivity and people-related issues. The learning over the last quarter is we've taken a higher level of direct control over management of the tasks, is that we've got a group of people who -- from local hires who we're converting from construction activities but not really related in the business we're doing to being able to perform the task which will be great as we go forward because we're increasing the capability within the communities as we start to look forward to phase 2, for example, right? But importantly is that because we're locally hiring from the communities, we've got good support. And an interesting stat is that we have 390 operating employees right now. And over the last 12 months, we've seen less than 3% turnover. So some of the issues that we see on the construction site because of the short duration and specialized skills are actually very favorable in the longer term. So if that makes sense or does it address your question, or is this something that you'd like more clarity on?
Ingrid Rico: Yes. No, that helps. And maybe just on the training and operational readiness, right, given that you're talking about the productivity of contractors, how should we think about then that operational readiness and the productivity on the ramp-up?
Darren Hall: Yes. No, thanks. And again, if we look at the team we've got in place, we've absolutely filled our management leadership down through the superintendents and supervisory levels through both the mine and the process. The additional time has given us additional time to be able to fill that first fill, if you will, of employees. But we've had a great team in place materially since April of last year. It gives them more time to work together, more time to develop and ensure we have filled any gaps and closed any gaps with respect to capabilities, both within the management, the supervisors and the operators as well. It gives us more time for the pre-commissioning, commissioning activities, as we mentioned, the phantom testing of all of the components, to be able to establish the right narrative in and around the process control logic and then drill down with ABB through to make sure that everything is talking to one another. The guys are absolutely ready to go. And I'm confident that this will be a smooth as ramp-up as you can possibly imagine, given the preparation we have, the simplicity of the plant and the quality of the people we have. So it's a little bit of a double-edged sword but never let a crisis go to waste and additional time has provided us with even more time to be able to prepare ourselves for a smooth ramp-up and setting ourselves up for what will be a successful 2026 and a long-term value-creation asset.
Ingrid Rico: I appreciate that. And I'll ask you the final one and I know you've kind of made comments about this before on commercial production and how to define that. But just in terms of that time line of kind of getting that ramp-up and steady state, are we thinking now sort of towards the end of this year to be at that sort of steady state ramped-up stage?
Darren Hall: Yes. Again, so we don't have to overpromise and under-deliver, I would anticipate that we will be at nameplate in Q1 of 2026. I'm confident in that.
Ingrid Rico: Perfect. That's all my questions and we look forward to see that first gold from Valentine.
Darren Hall: Yes, no. I appreciate it and thanks for the support, Ingrid and I appreciate your patience as we work through it. But again, I think we are building a quality asset with a long-term future. And we're making the right decisions, as painful as they are but the decisions we make today are setting ourselves up for a long-term success and ensuring that we have great local support within the communities.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Darren Hall for any closing remarks.
Darren Hall: Yes. Thank you, operator. I would like to take a moment and thank all of our shareholders for their continued support and not the least being the approval of the merger with Equinox Gold and everyone's participation and questions on the call this morning. As always, Ryan, I and the entire leadership team are available. If you have any questions, please feel free to reach out. And we look forward to talking to you soon and take care. Be well and back to you, operator.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.